Operator: Good afternoon everyone and welcome to the NextNav's First Quarter 2022 Earnings Conference Call. Participating on today's call are Gary Parsons, NextNav's Chairman; Ganesh Pattabiraman, NextNav's Co-Founder and CEO; and Chris Gates, NextNav's Chief Financial Officer. Before we begin, please note that during today's presentation, the company may make forward-looking statements, either in our prepared remarks or in the associated question-and-answer session. These statements which involve risks and uncertainties relate to analyses and other information that are based on forecasts of future results and estimates of amounts not yet determinable and may also relate to NextNav's future prospects, developments, and business strategies. In particular such forward looking statements include statements about NextNav's position to drive growth in its 3D geolocation business and expansion of its next generation GPS platform, the business plans objectives, expectations and intentions of NextNav, NextNav's partnerships, and the potential success thereof and NextNav's estimated and future business strategies, competitive position, industry environment, and potential growth opportunities. These payments are based on current expectations or beliefs and are subject to certain risks and uncertainties that may cause actual results to differ materially. Such forward-looking statements are subject to known and unknown risks, uncertainties, assumptions, and other important factors, many of which are outside NextNav's control that could cause actual results to differ materially from the results discussed in forward-looking statements. These risks, uncertainties, assumptions, and other important factors include, but are not limited to the ability of NextNav to continue to gain traction in key markets, with notable platforms and partners, both within the U.S. and internationally; the ability of NextNav to grow and manage growth profitably, maintain relationships with partners, customers, and suppliers, including with respect to NextNav's Pinnacle 911 solution and it's TerraPoiNT network, and the ability to maintain its management and key employees; the ability to maintain balance sheet, flexibility and generate, effectively deploy capital in line with its business strategies; the possibility that NextNav may be adversely affected by other economic business and/or competitive factors, including the impact of the ongoing COVID-19 coronavirus pandemic; other risks and uncertainties indicated from time-to-time documents filed with Securities and Exchange Commission by NextNav. New risks and uncertainties arise from time-to-time, and it is impossible for us to predict these events or how they may affect us. You are cautioned not to place undue reliance upon any forward-looking statements, which speak only as of the date made. And NextNav undertakes no commitment to update or revise the forward-looking statements, whether as a result of new information, future events, or otherwise. Risk factors that may impact our performance are identified in our most recent SEC filings. Following our prepared remarks, the company will host an operator led question-and-answer session. In addition, at the conclusion of today's call, a replay of our discussion will be posted to the company's Investor Relations website. With that, I'll turn the call over to NextNav Chairman, Gary Parsons. Please go ahead.
Gary Parsons: Thank you very much, operator and welcome, everyone, to NextNav's first quarter earnings conference call. We're pleased to be here and to provide you an update on the business and of course, since we actually recently only spoke with many of you a few weeks ago, on our fourth quarter call, I'll keep my overview and strategic comments fairly brief. Joining me on the call today as you heard is NextNav's CEO, Ganesh Pattabiraman and NextNav's CFO, Chris Gates. To start the call, I'm going to provide a quick overview of the quarter, and then I'll pass it off to Ganesh, and he'll offer a review of some of the more recent operational highlights. Chris will then wrap-up the call with a look at the financials and we'll then open it up for Q&A. As you will hear today NextNav is off to a solid start in 2022. We build an awesome momentum off last year, we delivered continued execution against our strategic plan in the first quarter. As Ganesh will discuss in greater detail, we expanded our partnership network in key areas such as E911 and gaming for our Pinnacle service. We also added a new vertical when we've talked about in the past sometimes, but really added something in the IoT or Internet of Things transportation space, with an agreement with Last Mile Technologies. As you'll hear more about this in a minute, this partnership is a great example of how the platform we've built the ubiquitous, resilient, location services can now continue to meet the needs of multiple industry verticals. We're also continuing to make progress on our TerraPoiNT build out. Notably, we continue to hold really detailed and earnest conversations with government officials as interest in protecting critical infrastructure and PN&T or Position, Navigation, and Timing systems gains attraction, along with the devastating war in Ukraine, which we've all talked about, I guess, we spoke about on the last earnings call. We told you last quarter that both the U.S. and European government officials remain highly engaged in discussions around what are now becoming very apparent vulnerabilities of GPS, and then find solutions to meet this growing concern. We're beginning to see promising signs in terms of government interest, particularly, as they contemplate how to deal with Russian interference with GPS in Europe and elsewhere. Since we last spoke, budgets in the United States have been finalized and money has been allocated to areas that are of importance to our business. The fiscal year 2022 budget approved by the U.S. Congress includes ramped up funding for the Department of Transportation to examine next steps following their 2020 technology assessment, which we've spoken about in the past. Both DHS and DoD also secured designated funding, much of which was specifically allocated or targeted towards ensuring GPS resiliency. And we also saw the Open PNT Alliance, of which we are a member, this month publicly recognize the government's growing interest in PNT Services. Today, we remain fully engaged with all of these efforts and assessments and expect to be an integral part of the government's roadmap to address these concerns. And of course, I would also be remiss if I didn't remind you, of course, the government funding and the full budgetary process through Congress is a drawn out affair and it does not produce quick results. Our VP of Government Affairs, Ed Mortimer is closely involved in the ongoing discussions, ensuring our interests remain top of mind. Because of the momentum we've built thus far and knowing that this isn't a quick process, we're taking a further look out into next year's budget process as well, to ensure that these key topics remain in the conversation. So with that, let me turn the call over to Ganesh to provide you with the details about the quarter's progress. Ganesh?
Ganesh Pattabiraman: Thanks Gary. Afternoon, everyone, and welcome to our first quarter earnings call. We feel pretty good about where the business stands today and are excited by the many opportunities we have in front of us. In the first quarter, we continue to build off of our strong foundational work we that we began last year, signing a slate of new partnerships while executing against the build of our Pinnacle and TerraPoiNT Services. To begin with, let me dig into some of our key announcements starting with the Pinnacle Service. We continue to build on our leadership position in the public safety space. As you may recall, back in January, we announced a partnership with the major wireless carrier to provide vertical location for emergency calls to public safety access points. We're continuing to build on this foundation now making the information more actionable for PSAPs and dispatchers by working with platform providers who enable that end of the service. We're excited about our expansion in the public safety space as our Pinnacle Technologies adopted by key players in the ecosystem and is now able to provide the axis vertical information visually in a way that makes it understandable and actionable for PSAP operators by including an altimeter view, which is really a visual way to show three dimensional data on a two dimensional map. To this end, we announced deals with both GeoComm and Next Gen 911 -- Next Gen Advanced 911. GeoComm is one of the leaders in map data and location intelligence for public safety. Using local GIS data and building information, GeoComm Systems can convert raw positioning measurements received from wireless carriers into dispatchable locations, including building name, street address, and other elements such as floor and room number. GeoComm Systems are enabled with the ability to take indoor tactical map displays to the next level, automatically highlighting the vertical location from where the 911 call originated in a multi-storey building. Next Generation Advanced or 911 is a cloud-based next generation 911 cloud platform. It's one of the fastest growing platforms to allow for Next Gen 911 and call handling solutions that major clients in California and Nevada. NGA's clients will now be able to natively show floor level vertical information, data of incoming calls across its ecosystem and display the location both 2D and 3D format. In turn, first responders will gain the confidence that they need and those they are dispatched to serve, needing to remain safe in emergency response instances. I'm also happy to report that our large E911 Carrier Integration Project remains on schedule and we expect to have devices rollout with the access capability later in the year. So, we feel pretty good about how that project is moving forward too. As you can see, we've established -- or continue to establish a solid foundation in public safety market. And we'll continue to look to identify additional opportunities moving forward. Beyond this, we are also expanding our footprint in the gaming and Metaverse space. Here we're working to expand into augmented reality where we see vast opportunities to align ourselves and provide best-in-class location authentication, and vertical location services to this fast-growing and nascent market. Similar to our previously announced agreement with echo3D, we recently signed a partnership with Widow Games, a gaming development company that's closing the gap between the physical and digital worlds. Widow Games is bringing NextNav's 3D geolocation capabilities to their application, enabling more immersive virtual experiences tied to the real environment of users, and leveraging location verification to validate transactions and interactions in the Metaverse. The application of our technology in this way is the first we truly able to authenticate location in the Metaverse with the use of vertical location, which can prevent location spoofing or something like an NFT treasure or the purchase of a landmark or property in a virtual real estate mobile game. It will also enable unique gaming experiences and augmented reality providing different experiences depending on the floor you're at. As part of this opportunity, Pinnacle Technology will be integrated into Widow Games' marquee title, GEOPOLY mobile game that couples buying, upgrading, and selling digital properties tied to the real world with real-time virtual events. Our technology is actually helping them to validate the location, including the vertical dimension and timestamps of users to authenticate attendance, verify transactions, and prevent in-game location-based spoofing. Through geofencing and geolocation, the positioning of specific users in the real world will enable location-based virtual experiences and rewards, authenticating users presence at virtual events, and facilitating interactions with other users in the same location. And finally, while you've heard us talk about gaming and public safety before and as Gary mentioned, we're also making moves into other logically-aligned spaces where our technology and services can help businesses grow and diversify. One exciting area for us is IoT. Just a few weeks ago, we announced a partnership with Last Mile Technologies, a provider of proprietary asset movement and sensor event analysis services to enhance vertical location capabilities for that asset tracking solutions. Last Mile partners with a large number of key providers to enable IoT solutions. With ecommerce services exploding during the pandemic, we view this partnership as a natural next step in expanding the Pinnacle use case. Our partnership with Last Mile enables organizations to precisely visualize and understand the 3-dimensional movement of business critical assets via API, web, or mobile applications, to strengthen operation security and data-driven decision-making. This can be done with complex and expensive localized on-premise infrastructure or hardware that could otherwise be required to provide site location intelligence. Beyond these exciting additions, we have a lot of other partnerships at various stages of development that we will assure to keep you updated as they progress. Now, turning to TerraPoiNT, we continue to make solid progress building towards the launch of this technology. Expenditures are expected to be modest in 2022 as we optimize the commercial transmitter design, conduct site selections, and overall network planning. Our strong balance sheets and licensed spectrum holdings allows us to maintain control over the pace and scope of that activity from both the capital and technology perspective. As Gary mentioned, we continue to see growing government interests to address GPS and location services vulnerabilities, stemming from the unfortunate events in -- from -- in Ukraine. We remain in active discussions with government officials both here in the U.S. and internationally and expect to be an integral part of these roadmaps to address these concerns. As we noted last quarter, we're participating the European Commission's Joint Research Center, Alternate Positioning Navigation and Timing Conference evaluation in Ispra, Italy. On May 18th, which is next week, they will be hosting the Demo Day, where we will be showcasing our technology to the European Union officials. We expect the full report coming out of Ispra, the results of the demonstration similar to the Department of Transportation's demonstration can be released later this summer. We'll be sure to update you on this and our performance as more information is made available. In addition to the demonstration at Ispra, Italy, Ed Mortimer, our VP of Government Affairs and I will be flying to the U.K. and European Union next week to meet with senior government officials to make further progress on PNT resilience. I'm also excited to note that I've been asked by NASA to participate in a panel on Position Navigation and Timing Workshop the following week on May 25th. And I'll be specifically speaking to the current PNT needs and how technologies like NextNav's can meet those needs today and in the future. This is just one of the many efforts we have underway with NASA and I look forward to continuing to collaborate with them. With that, let me turn things over to Chris for a review of our financials. Chris?
Chris Gates: Thanks. Good afternoon and thank you everyone for joining us today. We're happy to talk to you about our progress in the first quarter, as well as what makes us excited about the rest of the year. Getting into the numbers, our topline illustrates the beginning of the results from customers and platforms that we signed in 2021. In the first quarter we recognize GAAP revenue of $1.2 million, resulting in an operating loss of $16 million for the first quarter, now that includes approximately $900,000 in depreciation and amortization and $7.2 million in stock-based compensation expense. Our net loss for the period was $9.7 million and in addition to the previous non-cash charges included a non-cash income element of $6.4 million related to the change in the fair value of our warrant liability. Our total operating expenses were $17.2 million and again, including $7.2 million in non-cash stock based comp expense and $0.9 million in D&A. Our balance sheet remains debt free and at quarter end, we had $93.8 million in cash, providing us with ample capital and balance sheet flexibility as we as we work into 2022 and beyond. Now, in terms of outlook, as we've discussed in the past, we remain optimistic about the adoption of our service and as Ganesh and Gary highlighted earlier in the call, we're seeing that continue to expand. We're also pleased that the implementation of our service with our first national wireless carrier customer for E911 is proceeding on schedule. We'd like to continue to remind investors, however, that as we grow our service, there is likely to be lumpiness in our revenue due to the time between adoption of our service and scale usage and the near-term significance of certain large customers including an E911 as we transition to scaled operations. We expect to finish 2022 with a meaningful revenue run rate with variability around significant platform contracts and integration, additionally, 911 customers and potential government contracts. As we've emphasized in the past, we maintain an extraordinary foundation for our business, including the deployed national network, 2.4 billion megahertz top spectrum asset, novel intellectual property, and of course, our balance sheet. And finally -- the final note, while we're watching inflation closely and do anticipate somewhat higher employee and equipment costs, we do not expect these effects to be material at this time. We're also closely monitoring potential supply chain issues. And again, while not material to our business at this time, we are lengthening our horizon for preordering certain long lead components. With that, I'd like to open up the call for your questions.
Operator: [Operator Instructions] Our first question will come from the line as Timothy Horan with Oppenheimer. Please go ahead.
Timothy Horan: Hi guys. A few questions. Maybe update on the traction internationally with all the countries? Secondly, can you maybe just talk about -- do you think you're on track or ahead or behind what your expectations were? And maybe, lastly, can you give us a rough idea, I know you've mentioned a sizable run rate by the end of the year in revenue, can you give them maybe some color around all three? Thanks.
Gary Parsons: Well, let me hit some of it and obviously, we'll get to Chris on any sort of run rate expectations or other things like that, because we -- as you know, we're not providing guidance right now. And mostly because we're at still an early stage in this fluctuation where you get lumpiness associated with large contracts or platform integrations. I think, actually, I even mentioned, the very first call that we had after becoming public, that as we look into 2022, specifically, most of what would be seen would be hopefully, platform adoption, new partnerships, new marketing, and our ability to successfully penetrate things like public safety, gaming, IoT, of the things like that, and certainly, we've been very pleased with what we're now seeing out of the government. But that has not yet, turned itself into identifiable government contracts. On the international front, let me turn it over to Ganesh on that. I mean, clearly, we're continuing to work very closely with MetCom over in Japan. That's moving along very, very nicely right now. And as you even saw from Ganesh's presentation, Europe has woken up very much to this issue and we're trying to move into that area as quickly as we can too. Ganesh?
Ganesh Pattabiraman: Yes, Gary. I mean, I think, Tim that's -- on the international front, certainly we are seeing a greater set of activities, both in Europe and the U.K. on strengthening their PNT capabilities across the board. That's part of the reason why Ed and I are headed out there to meet with some of these officials, because we do see meaningful activities happening there. This coupled with the debt trial in RV technology revaluation at Ispra, we think will set the framework for a larger push in Europe and U.K. to enable these types of capabilities. And in Japan, we're actually quite pleased with the progress that our partner MetCom is making in that market. I think we expect to have some further announcements later this year on how they're faring. But I think suffice it to say, right now we see both on the spectrum front that the Japanese government is allocating to MetCom and the Pinnacle rollout we're seeing quite good progress and some of the trial activities that they have currently undergoing.
Gary Parsons: Hey, Ganesh, we probably also want to note because we focus the cause of the issues in Europe and Ukraine a lot on this critical infrastructure stuff and the governmental interest in TerraPoiNT there as a backup GPS resiliency, but actually, internationally, we're getting an awful lot of interest as well in the Pinnacle side. And we're in conversations with a number of countries on how they may be able to utilize the Pinnacle service, which does not require a spectrum assets to get underway. And so -- and certainly even the MetCom thing in Japan just going to be expected to move forward with the Pinnacle Services well too. Do you want to address anything else?
Chris Gates: I don't think, Gary, I think you captured it pretty well. I think one of the things to keep in mind as part of the reason we're a little cautious about providing, especially quarterly specific concepts is you get a deal that moves the quarter or even a few months if it's closing at the end of the quarter, it can have a meaningful impact. So, we are seeing appetite. We are signing customers and we are seeing our revenue base and customer base underneath that growing. We still want to maintain a little bit of caution in terms of specificity in that direction, really, for that reason.
Timothy Horan: Yes, I understand, Chris, I was just wondering if you can give us some color on the run rate at the end of the 12 months or 18 months or I know you said a material runway, just any more color around what you meant by that?
Chris Gates: I think not at this second, but we understand the very strong interest in that. We -- what we don't want to do is provide something that is -- isn't working in the right direction with the business, I think we want to, make sure when we do start putting expectations like that out there, formally that they are extremely well founded with a great degree of predictability about the timing and the meaning in the scope.
Timothy Horan: Okay. And then lastly, for me, are the partnerships, the economics and the partnerships and the setup of the partnership. So they kind of falling in place how you expected, are they better? Are they worse? But yes, any call around, but you have a lot of them?
Gary Parsons: I think you Ganesh, you want to do want to get into?
Ganesh Pattabiraman: Yes, yes, I can provide. I mean, I think the Tim, in the categories that we defined for public safety, gaming, and IoT, I would say, it's largely consistent with the frameworks that we've talked about, I will say that in the public safety aspect, we are seeing product expansion. And so, altimeter view that we talked about, provides a visualization capability for the desktop side, and they're just slightly different model. But, but it is.
Gary Parsons: It's richer and more positive for us on that front than what it did for game sponsors.
Ganesh Pattabiraman: Right? It is, it is because it's on the desktop side, it is a higher value. And it is also on per seat, or per user, per month type of model. Some similar to an MOU, but it larger dollars associated with it. So I think we all feel positive on that front. Because it is, again, shows expansion on the -- on one of the segments as we get deeper and deeper, integrated into those platforms.
Gary Parsons: Yes, and I think, overall, I mean, the alone worker type things, which are public safety, even if it's in a non-public safety environment, all of those appear to be aligned, what we're seeing out of the 911 contract consistent with what we've -- mentioned to you folks before in the past, so I think those things are going forward, the place where I think we're going to have to get more volume, because those things tend to need volume before they become really economic is in the data analytics, on anything associated with advertising and marketing things. So we'll jury's still out on those, but we have no reason to expect that they, they will also follow the patterns that we have seen.
Timothy Horan: Thanks, guys.
Operator: Your next question will come from the line of Mike Crawford with B. Riley. Please go ahead.
Mike Crawford: Thank you. What were your customer bookings and customer billings in the quarter? Is that something you intend to provide consistently? Or was that just a one off last quarter?
Chris Gates: Hey, Mike…
Ganesh Pattabiraman: Chris, you want to get that one.
Chris Gates: Yes. This is Chris, here. I think it's something we intend to provide on an annual basis. And but probably not on a quarterly basis, again, due to simulate the kind of unevenness we referenced earlier. I think we felt that, provided -- it provides a good sort of capture at year end is sort of what happened over the entire year, but on a quarter to quarter basis. I don't anticipate providing that.
Mike Crawford: Well, given that one customer was 97% of revenue in the quarter, and receivables went to almost zero. Can we assume that bookings and buildings were extremely low in the first quarter?
Gary Parsons: We did. We did collect. We did collect. I think you'll see on our cash flow statement. We did collect significant accounts receivable in the quarter, and it did not have -- did not have huge billings for the period. That is correct.
Mike Crawford: Okay. Maybe just one more…
Gary Parsons: Sure, sure, Mike. And I also say that is if we get into any of these government contract type things. We'll also try to at least when we recognize what those are or tell you what those contracts might be. It'll be important to say over what period of time we expect them to go because then that'll give you a feel for how the flow of the actual revenue will run. So we'll hopefully do that if there are any one off like that. But other than that, I think the yearly or annual basis is probably the best way to do it.
Chris Gates: Yes, Gary, especially with milestone based payments. Yes, that becomes part of the consideration. So we wanted to give a little bit of a forward look into, into what we had done in the fourth quarter. And then as we kind of work through the first quarter, of course, we've been delivering against some of those activities. One may imagine that there would be milestone based payments that are yet to emerge. Be as we take some of those products into service.
Gary Parsons: Yes. And Mike, you said you had another one?
Mike Crawford: Yes, I have a couple related to the business, but just first, stock based comp was high 7 million in the first quarter, is there an expectation that that's going to get back down to like, a million a quarter? Or what should we be thinking about that for this year in the future?
Gary Parsons: Yes, that's, that's going to come back down. That was kind of a, one-time the annual recognition there. And then you'll see with new hiring, periodic stock based content, we'll be sure to continue to report that we do think that's important to call out. So you can kind of understand what the cash impact on our financials really looks like what our you know, what our real, kind of cash operating expenses look like. But we don't anticipate that magnitude its stock based comp, to be repeated.
Mike Crawford: Not repeated in, say, Q1 next year, either?
Gary Parsons: That I don't it's hard to look that far into the future, frankly, on the line that matter, because it's subject to so many assumptions.
Mike Crawford: Okay.
Chris Gates: Well, while there is a big assumptions how many people how many people we're adding to the headcount, as we're ramping the business that will have some, obviously, some impact on that as well, too.
Mike Crawford: All right, and just turning to more pleasant matters. So on TerraPoiNT you're optimizing your commercial transmitter design, and network planning. So what how do you mean optimizing it for supply chain? Or to lower the bomb? Or what do you what exactly you're doing there?
Gary Parsons: Hey, Ganesh, you want to get that, because its packs a number of different things. Yes.
Ganesh Pattabiraman: Yes. It is a variety of factors, I mean, it is to taking into account sort of the, some of the changes in sort of the supply chain. It is also for ensuring the form factor et cetera, are small enough to from a cost perspective. And so it's a variety of those factors that are continuing to occur, obviously, I think I think we gave you that update just two months ago. So I think the point is that that process is continuing right now it's not completed. And we expect that to, again, get finalized throughout the rest of the year, along with the, the network planning and sort of the market assessment, that is also a parallel set of activities that are going on.
Mike Crawford: And then, thank you. And then you mentioned the 2.4 billion megahertz pops of low band spectrum you have in the US, but of that eight megahertz holdings. You really need five to enact your TerraPoiNT plan. So are you taking or what should we expect should be the next steps that you take to maybe look to get some additional value out of the other three megahertz spectrum? The other 900 million megahertz pops or spectrum? Yes,
Gary Parsons: Let me let me address that, Mike, because that's probably not something we can talk about right now, at this point. We're not, just age where we think that's the appropriate comment. We certainly look at it very heavily and are exploring a number of different options on that front. But right now, it's more important for us to get the initial product rolled out on it. So that's solid for the five megahertz. And, well, that's one of those announcements where you'll just have to get it when you get it. We don't want to foreshadow anything
Mike Crawford: Okay. Thank you, Gary. Thank you, everyone.
Operator: [Operator Instructions] The one question will come from the line of Jaime Perez with RF Lafferty. Please go ahead.
Jaime Perez: Good day, everybody. Thanks for taking my question. You mentioned the headcount. And I know you have a few projects. You need to increase headcount to get some of these projects for Pinnacle rolled out. Are you going to be subcontracted not doing the work yourself for some of these projects?
Ganesh Pattabiraman: Are you referring to --
Jaime Perez: Thanks, Ganesh. 
Ganesh Pattabiraman: Yes, Jamie. Are you referring to sort of some of the product expansion stuff that we've talked about?
Jaime Perez: Well, like the E911 products?
Ganesh Pattabiraman: Yes, no we're fully staffed for that those types of projects. Currently, I mean, all the time customers, we don't anticipate, we're not waiting on headcount to deliver on them. I think where you see, our headcount increasing is really on some of the business development, sales enablement, customer support types of factors, because that's, we're obviously, gearing up for sort of the volume of customers that we anticipate, and also the new verticals and markets that we are going after. So I think that's really where a lot of our expansion is. And so for the products, and that, and the customers that we have signed, etc. I mean, that's, that's some of the, beauty of the system is, is the platform more or less remains the same. It's the same SDK and API for a lot of the gaming and IoT types of applications. 911 is a slightly different beasts. And that's where there's a large integration. And, and, of course, that's where we are able to charge and then our E that goes with it, but those projects are well staffed, and we have no sort of are waiting for any hires to execute on them.
Gary Parsons: Yes, Jamie a little bit of what you were asking on are we outsourcing it or something like that, if you will note from a number of the partnerships and platforms that even the Ganesh announced in public safety, we could have probably gone out and say, hey, we want to do, move vertically up the chain and try to provide that same application ourselves. We're not trying to do that. We are trying to arm and equip those folks that are already providing, for example, mapping services, or CAD software to the answering points, the piece apps for the public safety dispatchers and things like that. So there's a little bit of assistance to make sure they use it well, and manifest a really good product. But we're not going to go try to build that product ourselves. So yes, that we were getting the leverage from the platforms and the partners, rather than having to try to build that product yourself. So yes, that much -- 
Jaime Perez: Alright. So I've got to understand this, basically, you're going to support it. Basically, you have what it takes to support the developers and integrate into your product into their application. Yes, that's all right. Now, as far as the alas mount technology, it is this that, what's NextNav? Is it going to be replaced? The old RFID chips that he put on shipping containers there's no those were only two dimensions, you have a three dimensional application? Is that the end goal, the end game to be able to?
Gary Parsons: I mean, I would say broadly, I guess, Jamie, that, I think, in a lot of these cases, what we're providing is complimentary capabilities to allow for the third dimension to be enabled. In the last mile technology case, specifically, there they are using primarily LTE and Sigfox types of technologies, along with the GPS, et cetera. So they're, we're providing the third dimension to that platform and what is important is that platform actually gets into a lot of different types of asset tracking types of applications that you talked about. It is certainly hospital that some of these markets and verticals, they are, RFID given that expense and large localized infrastructure. There are folks that we're in discussions with who liked the idea of an infrastructure free deployment and enablement of IoT tracking types of situations. And so I think that may happen over the natural course of time. Certainly, that's a possibility.
Jaime Perez: You mentioned the market data, and it's something that you desire to get to any other end markets. That's interesting, like defense, automotive, that might be something of that sort of send next snap to next level?
Gary Parsons: Oh, yes. I mean, so we are, again, in discussions and working with many of those verticals. In terms of the automotive or the drones and EV types of use cases, I mean, that we are continuing to see, lots of different partners wanting to leverage our technology to enable that capability, because again, they need that reliable position navigation timing service in the urbanized areas. And so I think we're seeing good momentum that and, of course of time, we will announce those and continue to see traction there.
Jaime Perez: Now, some of these are partnerships you just announced during the quarter? Or they signed contracts? I mean, what's the terms on those contracts as far as the durations? And are they one-time fees or licensing fees?
Gary Parsons: Yes, I don't know if we can specifically talk of specific contracts, I will say they are consistent with the frameworks that we've talked about in the past in terms of, in the public safety arena, it may be a monthly active user type of model, or as I just mentioned, in the desktop side, it's essentially a per seat type of model. And similarly on the gaming side, on the IoT side, it varies a little bit on, depending on the application to a perfect type of per API request type of model to something that's more active usage. So I think all of those frameworks remain consistent with what we talked about in the past. We don't see significant deviations there.
Jaime Perez: All right. That's all the questions I have. Thank you for taking my questions. 
Jaime Perez: Absolutely.
Ganesh Pattabiraman: Thanks, Jamie.
Operator: There are no further questions at this time. I'll turn the conference back over for any closing remarks.
Gary Parsons: Well, thanks very much operator, and for everyone who dialed into to listen, I mean, admittedly, it's been a kind of brutal marketplace out there for everybody and the stock market recently. And we'll hopefully see some of these impacts moderate over time here. And but we're continuing to move forward with our strategy. We see everything that every action and reaction that we're seeing in the marketplace convinces us that we're on the right track. There's an acceptance of the services and capabilities, both the z-axis capabilities and then the fuller TerraPoiNT, backup, resilient GPS 3-dimensional location capabilities. All of those as part of the main story remain consistent. Obviously, we've got to get these platforms up and operational to turn into scaling. So that the revenue that will have been followed the magnitude of the opportunity as well too but we look forward to briefing you again on next month -- next quarters call and hopefully you guys have a good day.
Operator: Ladies and gentlemen, that does conclude today's call. Thank you all for joining. You may now disconnect.